Makaya: Good afternoon. My name is Makaya, and I will be your conference operator today. At this time, I would like to welcome everyone to Pursuit Attractions and Hospitality, Inc. 2025 First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press pound. Thank you. Carrie Long, you may proceed with the conference.
Carrie Long: Good afternoon, and thank you for joining us for Pursuit Attractions and Hospitality, Inc.'s 2025 First Quarter Earnings Conference Call. Our earnings presentation, which we will reference during this call, is available on the Investors section of our website. On the call, you will hear from David Barry, our President and CEO, and Bo Heitz, our Chief Financial Officer. Today's call will contain forward-looking statements which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to the disclaimer on page two of our presentation for identification of forward-looking statements and factors that could cause results to differ from those expressed in such statements. During the call, we will also discuss non-GAAP financial measures. Definitions of these non-GAAP financial measures are provided on page three, and reconciliations to the most directly comparable GAAP financial measures are provided in the appendix of this presentation. And now, I'll turn it over to David who will start on page four.
David Barry: Thanks, Carrie, and thank you all for joining us as we review our first quarter results as a standalone attractions and hospitality company. We are pleased to report a strong start to the year, delivering solid financial performance in Q1. We've also made meaningful progress in integrating our three recent tuck-in acquisitions that closed in the fourth quarter of 2024. Encouragingly, we continue to see positive indicators for demand across our markets. And today, we are reaffirming our full-year guidance for double-digit growth in both revenue and adjusted EBITDA. So let's jump in starting on page six with a reminder of what drives our success. Pursuit Attractions and Hospitality, Inc. delivers authentic experiences in iconic destinations. And that's what global consumers are prioritizing and seeking. We have an extraordinary collection of 15 world-class point-of-interest sightseeing attractions, and 28 distinctive lodges located in iconic, unforgettable, and inspiring places around the world. Our experiences appeal to people of all ages and skill levels, with no athletic ability required. All you need to enjoy are 4,000 amazing and dedicated team members across Pursuit Attractions and Hospitality, Inc. that are focused on delivering unique and authentic experiences and hospitality that delight our guests every day. And I'm pleased to say that our seasonal hiring efforts are on track for us to be well-staffed heading into the busy summer season. We've built a leadership position in markets with high barriers to entry, strong perennial demand, and significant market tailwinds. And our team is strategically marketing and managing inventory through our various channels to maximize revenue and guest experience across our businesses. We continue to see global consumers prioritizing experiences over things, and seeking out authenticity pretty much everywhere they want to go. This plays well into exactly what Pursuit Attractions and Hospitality, Inc. delivers: authentic experiences and iconic locations. And we have exciting opportunities to continue growing our collections of incredible experiences through our proven Refresh, Build, Buy Growth investment strategy which is highlighted on page seven. That strategy and our relentless focus on the guest experience has enabled us to more than triple our revenue over the last ten years while delivering strong returns on investment. Refresh is about improving our existing assets where we see opportunities to improve the guest and team member experience and maximize return. Build is about creating new and amazing experiences that are very connected to iconic locations and bring new revenue streams with economies of scale and scope. And buy is about strategically acquiring one-of-a-kind businesses, bringing them onto the Pursuit Attractions and Hospitality, Inc. platform, and improving their hospitality and financial performance. So let's quickly turn to page eight for an update on our three recent tuck-in acquisitions. As a reminder, Eddy's Cafe and Mercantile, Apgar Lookout Retreat, and Montana House are strong strategic fits within our Glacier Park collection and existing lodging properties in Apgar Village, Montana. They're all situated on rare privately owned land within Glacier National Park at the west end of the same Going-to-the-Sun Road near the shores of beautiful Lake McDonald. These connected experiences now provide us with greater operational synergies as well as a unique opportunity to reimagine and refresh our collective experiences. Moving to the Canadian Rockies, the Jasper SkyTram is a strong strategic fit within our advanced Jasper Collection. This well-established and popular sightseeing attraction is located inside Jasper National Park and just moments away from Downtown Jasper, where we have a significant bed base among our seven lodging properties. The reimagining of the SkyTram is a powerful refresh opportunity coming in the very near future and will deliver an outstanding guest experience for decades to come. We're proud to welcome these already successful businesses into Pursuit Attractions and Hospitality, Inc. Integration is progressing smoothly, and we're confident that these assets are well-positioned to contribute meaningfully to our momentum heading into summer 2025 and beyond. Moving on to page nine, let's talk about what's next for our Refresh, Build, Buy strategy. As a reminder, we have two strong levers of growth that will drive the scaling of Pursuit Attractions and Hospitality, Inc. into the future. Firstly, we've identified more than $200 million of refresh and build investments that we believe can be executed over the next five years. And all of these investments are focused on well-instrumented, high-performing businesses that already exist within Pursuit Attractions and Hospitality, Inc. In 2025, we plan to invest between $38 million and $43 million in growth projects, including the transformational refresh of the Woodland Wing at our Forest Park Hotel in Jasper. We're currently renovating and upgrading about half of the 52 rooms at the property, with those expected to reopen to guests in June. The full property refresh is on track for completion in 2026. Investments in our hotel properties not only elevate the guest experience but also drive increased demand, which in turn supports incremental visitation to our nearby attractions. Refresh and build investments are key levers of our growth strategy. Investing in ourselves is one of the most powerful economic levers we have. Refresh and build investments eliminate points of friction in the guest experience and improve the performance of Pursuit Attractions and Hospitality, Inc.'s already well-managed businesses. We have the flexibility to accelerate or moderate these investments depending on the pace of our acquisition activity. Our second lever of significant growth is the expansion of our business through acquisition. On the acquisition front, our pipeline remains robust, with a number of strategically aligned opportunities both in our current geographies and in new iconic locations. With our strong balance sheet and ample financial capacity, we're actively pursuing transactions that will be of great interest to our guests, strengthen our platform, and deliver long-term value to shareholders. And now I'll ask Bo to review our financial results and outlook for the balance of 2025.
Bo Heitz: Thanks, David. I'll start on page 11 with our balance sheet and liquidity highlights. We're well-positioned for accelerated growth supported by a strong balance sheet, low leverage, and substantial revolver capacity. At the end of the first quarter, our net leverage ratio was under 1x. We carried a total debt balance of $78.9 million, which includes financing lease obligations, term debt at non-wholly owned subsidiaries, and $5 million outstanding on our $200 million revolving credit facility. Total liquidity was $212.1 million, consisting of $22.8 million in cash and cash equivalents and $189.3 million of available capacity on our revolver. Next, on Page 12, I will walk through our first quarter financial results. We delivered revenue of $37.6 million in the seasonally slower first quarter, which was up approximately 1% year over year. This growth was driven primarily by an increase in ticket revenue, which I'll cover in more detail shortly, largely offset by unfavorable foreign exchange rate variances. The translation of our Canadian results into US dollars at a lower year-over-year exchange rate impacted first quarter revenue by approximately $1.3 million. Excluding that impact, revenue grew 4% year over year. Net loss attributable to Pursuit Attractions and Hospitality, Inc. was $31.1 million as compared to $25.1 million in the prior year. The year-over-year change was primarily driven by the discontinued operations treatment of GES's results in 2024. Loss from continuing operations attributable to Pursuit Attractions and Hospitality, Inc. was $31 million, as compared to $29.6 million in the prior year. And our adjusted net loss, which excludes results of discontinued operations and other nonrecurring expenses, was $26.9 million as compared to $25.4 million in the prior year. The year-over-year change primarily reflects lower adjusted EBITDA partially offset by lower interest expense. Adjusted EBITDA declined by $2.9 million to negative $17.5 million during the seasonally slower first quarter, primarily due to inflationary cost increases to support year-round operations as well as seasonal operating losses from new businesses. Now let's look at our first quarter attractions performance on page 13. Attraction ticket revenue reached $19 million, reflecting a 6% year-over-year increase driven by higher effective ticket prices and increased visitors. The successful launch of our FlyOver Chicago attraction in the first quarter of 2024 significantly contributed to the growth in revenue and visitors. Same-store constant currency effective ticket pricing, which excludes FlyOver Chicago, grew by 10% compared to 2024. This increase was primarily fueled by the expansion of the premium ritual experience at our Sky Lagoon attraction, completed in August 2024. Next, let's switch to first quarter hospitality performance on page 14. Lodging room revenue totaled $7.3 million, reflecting a $300,000 decrease compared to 2024. This was primarily due to fewer rooms being available at the Forest Park Hotel's Woodland Wing, where large-scale renovations are currently underway on approximately half of the property's rooms, as well as an unfavorable FX impact. These impacts were partially offset by stronger same-store RevPAR. Same-store constant currency RevPAR, which excludes the Forest Park Hotel's Woodland Wing and the recently acquired Apgar Lookout Retreat, grew 9% year over year as we captured higher ADRs and maintained strong occupancy levels. Page 15 provides a view of our strong room booking pacing for 2025. The charts on this page show our room revenue on the books for confirmed reservations as of May 5 across three years. Our US lodging properties are pacing approximately 10% ahead of the same time last year, and our Canadian properties are up approximately 2% year over year. When adjusting for the impact of rooms taken offline for renovation at the Forest Park Hotel Woodland Wing, our room revenue on the books in Jasper is approximately 8% higher than at the same time last year. This pacing supports our expectation that we will see strong perennial demand across our locations this year and a return to more normal levels of revenue across our Jasper properties. Let's turn to our 2025 outlook on page 16. Based on our first quarter performance and continued positive forward indicators, we are reaffirming our 2025 guidance issued on March 11. We continue to expect double-digit growth in full-year revenue and adjusted EBITDA supported by strong business fundamentals. Our adjusted EBITDA guidance range of $98 million to $108 million represents an increase of $21 million to $31 million over 2024. This growth is expected to be driven by strong execution across our operations, the recovery of leisure travel to Jasper, and contributions from our recent acquisitions, partially offset by the impact of unfavorable foreign exchange rates as Canadian results are translated into US dollars. This guidance accounts for certain assumptions which are set forth in our earnings press release. With the anticipated rebound in Jasper, our unwavering focus on delivering exceptional guest experiences, and the strength of our balance sheet, we are well-positioned to drive sustained growth and continue investing in high-return, refresh, build, and buy opportunities. And with that, I'll turn it back to David.
David Barry: Thank you, Bo. Across Pursuit Attractions and Hospitality, Inc., we're gearing up to welcome guests and deliver exceptional experiences during what we expect to be a strong peak summer season. I want to thank our team for their dedication and passion all across the Pursuit Attractions and Hospitality, Inc. world. They bring their best every day to create unforgettable moments for our guests. And to our shareholders, thank you for your continued support as we advance Pursuit Attractions and Hospitality, Inc.'s exciting growth journey. Now let's open it up for questions.
Makaya: I would like to remind everyone in order to ask a question, press star then the number one on your telephone keypad. The first question is from the line of Tyler Batory with Oppenheimer. You may proceed.
Tyler Batory: Thank you. Good afternoon. My first question is on the travel trade business. And in terms of your rooms revenue on the books right now, what percentage is TravelTrade, and what are you expecting in terms of that mix of business as we move through the peak season here?
David Barry: Tyler, thank you. Right around 45%, and it does fluctuate. So in certain times of the year, that percentage might be slightly higher. But if I round it out, for the full year, it's right around 45% coming from travel trade, strong demand for Jasper, for Banff, for other destinations, and we're seeing good demand from around the world. People are seeking alternatives. They may have a problem with one particular country, switching to another. Great demand curve. Good continued visibility in the future 2020. And Tyler, did we lose you?
Tyler Batory: I'm not. I'm still here. There might be some technical difficulties on your end. I'm sure David was cutting out there at the end.
Carrie Long: Do you need him to repeat the answer, Tyler?
Tyler Batory: No. No. That's okay. I just want to be sure that he's still there and ready for the next question.
David Barry: Still here. Ready for the next question.
Tyler Batory: Okay. Okay. Perfect. Thank you. I'm also thinking about there's been a lot of movements in the currency. There's a lot of geopolitical headlines that are out there. You know, in terms of your mix of guests that you're expecting, and I'm really thinking about Jasper. I mean, are you expecting a little bit more local Canadian visitation than normal this year? You know, how does the US inbound look versus prior years?
David Barry: So starting, Tyler, with the US inbound, US inbound remains quite strong. Canada is priced very advantageously on a world scale, and that's really reacting to currency values, currency exchange, which puts Canada in a position of very favorable pricing. On the side of Canadians staying home with a low Canadian dollar, because historically, Canadians have stayed home and spent their time and energy vacationing within their home country. This year, I would say that's amplified due to a variety of factors. But we see strong demand from the US, strong demand from Western Europe, strong demand from Japan, and parts of Asia, and then Canadians staying home. So feels like a tailwind to me.
Tyler Batory: Okay. And just follow-up on the currency. And maybe a question more for Bo here. So dollar or sorry. 69¢ is within the guide. I mean, the currency is a little bit of a little bit different than that right now. So is there a way to think about sensitivity? Currency moves one way or the other in terms of the translation impact in your results?
Bo Heitz: Sure. Yeah. So as you alluded to, our guide kept rates unchanged at the $0.69 for Canadian to US dollar rate. Given recent volatility in FX, and the fact that we still have a large portion of our season to go, you know, no updates at this point. But certainly something we'll look to update as we get later into the year and into our operating season here. In terms of the sensitivity, not gonna give a specific answer on that, but if you think about right now, rates, I think, are around 72¢. We had called out that relative to prior year, at the 69¢ rate. That was about a $7 million headwind year over year. And that was based on last year having average rates closer to 73¢. So giving you a sense of the concentration we have in the Banff Jasper area and how that could impact based on movements and currency.
Carrie Long: And just a reminder that that headwind on adjusted EBITDA.
Tyler Batory: Okay. That's five million. Good detail. Thank you. Thank you. Couple others for you. You know, in terms of, you know, FlyOver, know there's a write down related to that last quarter. Just how are things progressing at FlyOver Las Vegas? Just on the Chicago is doing quite well too. So just kinda help us think about performance on the flyover side of things.
David Barry: Sure. I'm happy to speak to that, Tyler. So first, I'll in Vancouver. We're seeing good performance in Vancouver with a combination of Canadians staying home and visitors into Canada. So Vancouver's performing on track and gaining ground. Have Chicago that's entering its second year. So, really, it's just starting in summer season. So we feel positive about Chicago and how it's tracking. Iceland visitation is performing as expected. And then Vegas continues to be challenging, and know, wish I could say, oh my gosh. Things have gotten incredibly better, but the team is resilient. We're focused on doing everything we can to drive to an outcome. A positive outcome in terms of visitation, but it's a slog in terms of driving visitation of Vegas. Vegas overall had a rough first quarter. Not an excuse for how we performed, but just an indication of overall what's in the market.
Tyler Batory: Okay. And then my last question is just the commentary in terms of M&A. And you talked about the pipeline remaining robust. You alluded to current geography, and new locations. You also made a comment in terms of adjusting the capital spends depending on the pace of opportunities there that are out there. So just expand on that a little bit more. What are you seeing out there? Are you looking at? When I hear, the pipeline remains robust. You know, I'm curious if it's if the opportunities have changed much recently or just any other general commentary in terms of opportunities and what you're looking at?
David Barry: Thank you, Tyler, for such a good question. So couple of things. Obviously, I can't comment on things that working on or things that we're looking at around the world. We'll just have to be patient on that one. As we continue to look internally at our opportunities, we're always working on things we can be accelerating. And back to the two levers of growth, if we see things that we can move more quickly that would be beneficial, we'll certainly work on those and communicate them when we've made a decision. Acquisitions, we've got a, I would say, a very robust pipeline. The team super resilient, has been working hard. During the period of time that we were going through the strategic transformation with, you know, Viad to Pursuit Attractions and Hospitality, Inc. We kept all of those various contacts warm and worked on a variety of things during that time. So I think we're well-positioned. And as news comes to the forefront, we'll be the first to share it with the world.
Tyler Batory: Okay. That's all for me. Appreciate it. Thank you.
David Barry: Thank you.
Makaya: Again, if you would like to ask a question, press star and the number one on your telephone keypad. There are no further questions at this time. David Barry, I'll turn the call back over to you.
David Barry: Thank you so much. Well, this concludes our 2025 first quarter earnings call. Thanks to everyone that joined today. And, I know that, for our next quarter, there'll certainly be more questions. So, looking forward to that. And thank you all. And thanks for your support as we continue our exciting growth journey. Have a great day.
Makaya: This concludes today's conference call. You may now disconnect.